Operator: Ladies and gentlemen, thank you for standing by, and welcome to the MEDNAX 2018 Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we'll conduct a question-and-answer session. Instructions will be given at that time. As a reminder, today's call is being recorded. I'd now like turn the conference over to your host, Charles Lynch. Please go ahead.
Charles W. Lynch - MEDNAX, Inc.: Thanks, operator. Good morning, everyone. Welcome to our third quarter earnings conference call. I'm going to read our forward-looking statements, and then I'll turn the call over to Roger. Certain statements and information during this conference call may be deemed to be forward-looking statements within the meaning of the Federal Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on assumptions and assessments made by MEDNAX's management in light of their experience and assessment of historical trends, current conditions, expected future developments, and other factors they believe to be appropriate. Any forward-looking statements made during this call are made as of today, and MEDNAX undertakes no duty to update or revise any such statements, whether as a result of new information, future events, or otherwise. Important factors that could cause actual results, developments and business decisions to differ materially from forward-looking statements are described in the company's most recent Annual Report on Form 10-K and its quarterly reports on Form 10-Q, including the sections entitled, Risk Factors. In today's remarks by management, we will be discussing non-GAAP financial metrics. A reconciliation of these non-GAAP financial measures to the most comparable GAAP measures can be found in this morning's earnings press release or quarterly report on Form 10-Q or in the Investors section of our website located at mednax.com. With that, I'd like to turn the call over to our CEO, Roger Medel.
Roger J. Medel - MEDNAX, Inc.: Thank you, Charlie. Good morning, and thanks for joining our call to discuss our results for the third quarter of 2018. Our EBITDA and EPS results were within the guidance ranges that we provided in August, despite the challenges related to soft patient volumes. The continued impact of our corporate and operating initiatives helped meaningfully to offset those volume trends during the quarter. And we remain on track to meet the targets that we established for these initiatives in 2018. Before I dive into the results, I wanted to take a moment to discuss an announcement that we made this morning about MedData, our unique management services organization focused on some of the most challenging areas within revenue cycle management, including eligibility services, patient engagement, and patient pay collections. We announced that we are initiating a sale process for this business. This is an important and impressive business, led by a highly capable team, with over 2,000 people working every day to drive results for clients. And based on the dynamic environment and revenue cycle management, the organization has a tremendous opportunity to continue to grow. That said, from a strategic perspective, we have concluded MedData's current opportunities are more parallel to, rather than central to our current plans to grow and develop at MEDNAX. We believe MedData need to start to focus to reach its future potential that will be best achieved under separate ownership, so that is what we plan to do. We would expect to continue to engage MedData services, which have been extremely valuable to us, following a potential sale. And we also believe that the right partner would enable MedData to continue to accelerate and enhance its service offerings. For MEDNAX, this potential transaction would allow us to focus our organization on physician services, which has been at the core of our company since its founding almost 40 years ago. Finally, we expect to use the proceeds of the potential sale to continue to pursue our balanced approach to share repurchases debt repayments and future acquisitions. Now, turning to our results for the quarter. Within women and children's services, our revenue growth across this broader organization was in the low-single digits. We generated strong volume growth in newborn nursery care, as well as in pediatric cardiology. Neonatology volumes were negatively affected by birth trends during the quarter. And this was the primary factor driving our overall same-unit growth below the range that we expected. As we have seen any number of times in the past, birth trends at our hospitals and our resulting neonatology volumes can be volatile in the near term with births being down one month within the region and up the next month in the same region. We cannot control that, but the size and diversification of our organization provide us with multiple opportunities to grow in different ways, as was the case this quarter despite an almost 2% decline in NICU days. After the end of the quarter, we also completed the acquisition of South Dade Neonatology, a large physician group based in Miami. We are very familiar with this group, and I am happy that they have finally joined MEDNAX. Importantly, this acquisition expands the strong relationships we have with major health systems here in South Florida. We acquired this group for a multiple in the mid-single digits, consistent with our historical neonatology multiples. Our radiology organization continued to generate strong volume growth in both practice-based studies and teleradiology. Through this year, we have also begun to target smaller, tuck-in acquisitions to expand our existing practices and we continue to expand our footprint. Since the end of the third quarter, we have announced three strategic acquisitions. Two of these are of practices in Florida, which adds to our existing presence here; and the third, Radiology Specialists, is based in Las Vegas. This is a strong geographic area with attractive growth opportunities, and also one where we have a significant presence already through our women's and children's services. Finally, in anesthesia, as we have previously discussed, our results were distorted by the non-renewal of a contract in Charlotte at the beginning of the quarter. While this was in line with what we expected, it nonetheless impacted our consolidated operating results, which otherwise reflect continuing year-over-year growth in EBITDA. In terms of operating trends in our ongoing anesthesia organization, we did see a payer mix shift towards government. Our operational initiatives are heavily focused on anesthesia services, however, and the progress that we had made in those initiatives helped to offset these revenue trends during the third quarter. Related to that, I want to turn to our corporate and operational initiatives. Last quarter, we announced an expansion of these plans to a target of $120 million in annual improvements, with the goal of achieving this target through the end of 2019. This represents a full realization of our targeted $40 million in G&A improvements, as well as $80 million in annualized improvements through our operational plans. These goals build on the progress we achieved in the earlier, more tactical stages of our initiatives and become more transformative, focusing on our own service delivery model to our practices and on the practices own clinical delivery models. We're deploying resources across our practices with a heavy focus on our anesthesia organization to support enhancements to the service delivery model. This includes engagement of our consulting organization, Surgical Directions, to work in tandem with our clinical services leadership to identify opportunities for more efficient coverage and scheduling. It also entails the rollout of additional IT capability to improve a practices clinical staffing efficiency, as well as to measure, benchmark, and reduce premium and agency labor costs. We have also identified areas where we may look to invest further in order to either accelerate our plans or to expand it. The initiatives we are pursuing are not meant to be one-time in nature, but rather to transform the ways in which we provide services to our patients, and the ways in which MEDNAX provides services to our practices. And from a financial standpoint, beyond the dollar targets we established through 2019, our ultimate goal is to continually optimize our earnings power regardless of the external trends that we can't control. Any additional investments we make towards that end will be targeted and finite, and we will be reviewing them based on the returns that we would expect to generate in terms of accelerated timing or expanded operational improvement. As I've discussed in the past, our initiatives also include a focus on growth opportunities. Within women and children's services our focus is to build on the breadth and diversity of our organization, which includes more than 15 subspecialties and our ability to expand the services provided by our existing practices and to win new business and start-up opportunities. We believe that areas like newborn nursery care and OB hospital services represent attractive addressable markets that we haven't yet fully tapped, and these are focused service lines for us, as we look at our organic growth opportunities. The same is true for radiology, where we've been successful this year in helping our on-site practices expand into new facilities, on both an organic basis and through tuck-in acquisitions. Lastly, we continue to pursue targeted M&A with a focus on radiology and women and children's care as demonstrated by the transactions we closed following the end of the third quarter. And we will continue our deliberate strategic approach to acquisitions. The acquisitions we do pursue will be in service lines and geographic areas that we believe will be strategic to our markets and value-additive to our organization. In terms of a high-level view of external ; trends, we are operating with the expectation that the headwinds we have experienced this year will persist. However, we continue to believe that the corporate and operational initiatives we're undertaking can be sufficient to offset these headwinds in 2019 and position us well for improving margins and organic EBITDA growth, should market trends turn more favorable than what we're currently seeing. As we move forward, we will continue to refine and update our views of the headwinds we face and the tailwinds we may see, as well as the operating and financial performance enhancements that we are creating through our corporate and operational initiatives. One last point I want to make on headwinds and tailwinds is the specific headwind related to the Charlotte anesthesiology contract. As we discussed last quarter, our results for the second half of this year will include our commitment to the physicians impacted by this non-renewal to pay their salaries through the remainder of the year. As we move into 2019, we will also move away from the distortions that this event has created this year. Before our review of our financial results, I want to make a few comments about our Board of Directors and our company leadership. First, we have retained Spencer Stuart to assist us in identifying and reviewing candidates for addition to our Board of Directors. I look forward to this process and the opportunities we have to complement the experience and thoughtful input that we receive from our Directors. Second, following the completion of our third quarter filings, Stephen Farber will assume the role of Chief Financial Officer. Our healthcare world continues to evolve rapidly, and MEDNAX is transforming as well. Stephen brings to us a wealth of experience in helping to lead large, complex healthcare organizations through significant change. He joined us from Kindred Healthcare, one of the country's largest providers of post-acute care, where he was Chief Financial Officer since 2014. Prior to that, Stephen was CFO of Tenet Healthcare one of our largest hospital partners. Throughout his career Stephen has also helped to ensure that the organizations he worked for stay true to their missions of providing high-quality care to their patients during times of change. That will certainly continue to be the case at MEDNAX, where taking great care of our patients is at the core of everything we do. Over the short time Stephen has been with the company, he has been deeply involved in all aspects of our business, and we look forward to his contributions as we move forward. To that end, this will be Vivian Lopez-Blanco's final earnings call before she moves on to retirement. And I want to thank her again for all of her contributions throughout the years. Vivian joined MEDNAX in 2008 and became CFO in 2009. For the past decade, Vivian provided leadership over the company's financial organization during a period of significant growth. During Vivian's tenure, MEDNAX has quadrupled in size from $1 billion in revenue to almost $4 billion today. Vivian played a pivotal role in financing this growth, which involved significant investments with the acquisition of physician groups and other companies. Under her leadership, we successfully expanded our assets to financial markets, increasing the company's borrowing capacity, as well as completing our first bond offering in 2015. Beyond Vivian's significant leadership and many contributions at MEDNAX, I consider her a close colleague and friend, and I wish her the very best in her well-deserved retirement. And please join me in congratulating her and wishing her well. We had the benefit today of being in a transition period from Vivian to Stephen, so I'll ask both of them to make some comments on today's calls. Vivian will review our financial results for the quarter, and Stephen will provide some thoughts based on his time so far with the company. So, for the last time, I'll turn the call over to Vivian.
Vivian Lopez-Blanco - MEDNAX, Inc.: Thanks, Roger. Good morning, and thanks for joining our call. I'll provide a brief overview of our third quarter and some additional details in a couple of areas. Our consolidated revenue growth of 3.2% reflected same-unit growth of 1.2% and acquisition-related growth of 2%. Same-unit growth was evenly divided between volumes and pricing. On the volume side, we saw growth across all of our service lines except neonatology, where NICU days decreased by 1.9%. Radiology was the greatest contributor to volume growth, along with our other pediatric services, primarily newborn nursery care, as well as pediatric cardiology. Pricing growth was driven primarily by modest improvements in managed care contracting. Payer mix trends reduced pricing by only a slight amount, with unfavorable mix in anesthesiology, partially offset by favorable mix in neonatology and other pediatric services. On the cost side, practice salary and benefits expense was $626 million or 69.8% of revenue, as compared to $586 million or 67.5% of revenue last year, reflecting growth in clinical compensation, premium pay, and agency labor, as well as acquisition-related growth, and staffing additions related to our organic growth initiatives. As we indicated, when providing guidance for the third quarter, we are providing continued employment through the end of 2018 to certain physicians affiliated with Southeast Anesthesiology Consultants, who were affected by the contract non-renewal. And the expense related to this employment was accounted for as normal practice salary and benefits expense in our income statement for the quarter. The amount of this expense was roughly $10 million, which is in line with our expectations. Turning to our corporate and operational initiatives. The financial improvements we generated during the third quarter were in line with our expectations. These included operational improvements of $10 million and $6 million in improvements in G&A expense. In the third quarter, G&A expense was 11.5% of revenue compared to 11.7% in the third quarter of 2017. EBITDA for the quarter was $141 million compared to $152 million in the third quarter 2017. To put this comparison in context, we estimate that the non-renewal of the Southeast contract impacted EBITDA for the third quarter by roughly $16 million or roughly $0.12 per share in EPS, reflecting both this contract's historical quarterly EBITDA contribution of roughly $6 million and the salary and benefits expense we incurred during the quarter for effective positions. Below the EBITDA line, our effective tax rate for the quarter was 27.5%, in line with our expectations. Turning to cash flow, we generated $141 million in operating cash flow in the third quarter compared to $200 million in the prior-year period. As a reminder, cash flow from operations in the third quarter of 2017 was favorably impacted by the deferral of tax payment for companies impacted by the 2017 hurricanes. We used operating cash flow as well as borrowings on our revolver to fund the $250 million accelerated share purchase we announced in September. Finally, turning to our balance sheet. We ended the quarter with total borrowings of $2 billion, consisting of our revolver borrowings and senior notes. At quarter end, we had additional borrowing capacity under our revolving credit facility of roughly $735 million. Lastly, turning on to our outlook for the fourth quarter. As we announced in our press release, we expect that our earnings per share for the quarter will be in a range of $0.65 to $0.73, and that our adjusted EPS will be in the range of $0.87 to $0.95. The range for our fourth quarter outlook assumes anticipated same-unit revenue growth will be flat to 2% year-over-year. For the fourth quarter, we expect that our EBITDA will be in a range of $130 million to $140 million. Related to Southeast Anesthesiology Consultants, our expected results for the fourth quarter include approximately $9 million in expected practice salary and benefits expense related to the affected physicians, impacted by this matter, or $0.08 per share in EPS. Our expected results for the fourth quarter also reflect no ongoing EBITDA contribution from this contract, which during the first half of this year was roughly $5 million to $6 million per quarter or roughly $0.04 per share in EPS. As a result of these items, our guidance for the fourth quarter reflect the total impact to our expected results related to Southeast of $14 million to $15 million or roughly $0.12 per share. Also related to our forecast of EBITDA included within expected general and administrative expense for the fourth quarter is approximately $6 million of improvements in G&A expense. Our forecast of EBITDA also includes $11 million in positive impact from our operational plans. This reflects the combination of incremental revenue and improvements in operating expenses. Below the EBITDA line, our outlook assumes an effective tax rate of approximately 27% compared to 39% in the fourth quarter of 2017. Finally, based on the impact of our accelerated share repurchase, our outlook assumes average diluted shares outstanding for the fourth quarter of 89 million. With that, I'll turn the call over to Stephen
Stephen D. Farber - MEDNAX, Inc.: Thanks, Vivian; thank you, Roger; and good morning, everyone. I've worked in prior roles with many of you on this call, and I'm glad to be working with you again. I've been with MEDNAX now for about two months, and I've had the pleasure over this time to get a better sense of the people, the business, and the mission that drives everything that we do here. It's the time of significant change for MEDNAX, and I'm honored to have the opportunity to be part of it. There are two areas where I'd like to focus my comments this morning: First, a few comments on our cost and margin opportunities with the sense of our intermediate and longer-term perspective; and second, some perspective on capital deployment and capital structure. I'll start with cost of margin opportunities. As Roger and Vivian have discussed, there are significant cost initiatives underway with meaningful results already delivered and high expectations for 2019. Roger also commented earlier that there are areas where, we may make additional investments in tools and resources to supplement these initiatives. I've been spending a good portion of my time working to understand opportunities of cost, and while these are preliminary, I believe, there are significant additional opportunities to reduce costs and improve operating efficiency that are incremental to what has already been discussed. To be clear, these opportunities are perhaps a bit less tactical and a bit more strategic. It will require meaningful technology and operational investments and will have longer lead times than many of the change efforts already discussed. These include areas like, technology-enabled process change, shared service expansion and improvements, and also meaningful deployment of administrative tools and technology directly into our practices. In short, we believe there are significant opportunities to harness data and analytics and technology to drive performance across the enterprise. You should expect that over the next few quarters, we will begin to attach more specifics and begin to take action to go after these opportunities. Turning now to capital deployment and capital structure. Just a few thoughts to wrap up my comments today. Last quarter, Roger made the comment that he expected a moderate level of transaction activity over the balance of 2018. This activity combined with the $250 million accelerated share repurchase we announced in September represents the use of roughly a year's worth of free cash flow. As we finalize our capital structure plans for 2019, I would make the following comments. First, we are thinking of 2019 as a year of significant internal focus. We believe there are meaningful internal opportunities to reduce cost, increase efficiencies, and in general, work to get higher levels of performance out of our existing enterprise. We are working diligently to streamline, simplify, and organize what we have and strengthen our basis for future growth. We do expect a modest level of transaction activity in 2019. It's hard to quantify exactly what that means in dollar terms. And it is possible that a tremendous opportunity may present itself. And if it does, we intend to act on it. So, we expect our general posture for 2019 to be one of integration and optimization of our existing practices, with perhaps a handful of modest acquisitions along the way in our women and children's and radiology areas and very selective strategic transactions. As for capital structure, we continue to work through the $250 million ASR that is underway. And following its completion, there will be $250 million of additional remaining share repurchase authorization. We currently expect to use a portion of the proceeds from the potential sale of MedData to utilize that authorization and repurchase additional shares, of course, subject to market conditions and all the usual caveats. From a philosophical perspective, we believe that a balanced approach of persistent methodical share repurchases, strategic acquisitions, and a relentless focus on optimizing and operating our core is the right approach to advancing MEDNAX as an enterprise, and that dynamically shifting our balance between these three areas depending on priorities and market conditions is the right approach to maximizing our value for shareholders over time. And with that, let me turn it back over to Roger.
Roger J. Medel - MEDNAX, Inc.: Thank you, Stephen. And with that operator, let's open up the call for questions.
Operator: Thank you. Our first question is going to come from the line of Kevin Fischbeck from Bank of America. Please go ahead.
Kevin Mark Fischbeck - Bank of America Merrill Lynch: All right. Great. Thank you. Best wishes, Vivian; and welcome, Stephen. I guess, a question on MedData. How has that business been performing over the past few years? And obviously, the overall business has been under some pressure. Has that business been growing nicely, or has that also been relatively flat earnings trajectory?
Vivian Lopez-Blanco - MEDNAX, Inc.: So, good morning, Kevin. Thank you for your comments. And, yeah, so MedData has performed. It had some growth, but honestly, not met our expectations from when we had originally acquired it. I do think that that industry that they're in is changing. And as Roger mentioned in his comments, I think, they need focus to have someone that is going to be able to enable the technology and things that are happening in that industry. And so, we feel that they are going to be better served by having someone that can focus on that, because obviously, given the initiatives that we have here with our physician services arm, that's really what the company needs to focus on at the moment. And so, as we said, they have a great management team. They have a great product. They will continue to be used by MEDNAX, because they've done really well by us in the service line that they have on the patient pay side. But we feel that they need some dedicated focus. I don't know if Roger, you, or Stephen have anything else to add to that?
Roger J. Medel - MEDNAX, Inc.: No, I think that's it. It's a great company. And we believe they need some investments. And we, at this point in time, just are prepared to make investments in our sector, as opposed to...
Kevin Mark Fischbeck - Bank of America Merrill Lynch: Okay. So, divesting it won't really change your growth profile at all, as far as how we think about that. And then, I don't know, I guess it's kind of early, but is the thought process that that business, given the opportunity that you see would probably be at a higher valuation than the company overall, where it's trading at right now?
Vivian Lopez-Blanco - MEDNAX, Inc.: Well, we just started this process, but we have heard from bankers et cetera that that market right now is really looking to expand. And so we think that there are good opportunities. And I'm hesitant to talk about valuation at this point, because it's just too preliminary to tell. But we know that there's a lot of interest in that sector.
Kevin Mark Fischbeck - Bank of America Merrill Lynch: Okay. And then, I guess, trying to dig into the anesthesia payer mix. Is that just purely kind of the demographic story, if you will, of just the senior population growing faster than the commercial population and high deductibles pushing down commercial volumes, or is there something else going on kind of underneath that? I guess, there seems to be a lot of focus on out of network and things like that? Is there an issue contractually on the commercial side that's causing that shift?
Vivian Lopez-Blanco - MEDNAX, Inc.: Yes. So, no, not for us. We're consistent with what we've said in the past related to what you just said on demographics changing and the out of pocket. But we don't see, as we've said before, this issue without a network. And again, the anesthesia mix, yes, it's negative, but it's been consistent in that range. It's not like what we saw at the beginning of 2017. But, nonetheless, nothing else to say there, Kevin; it's the usual, we've said in the past.
Kevin Mark Fischbeck - Bank of America Merrill Lynch: Okay. And then, I guess, just last question then. Nothing else changing as far as kind of your view about what kind of organic revenue growth you need to show margin expansion. It sounds like the company kind of has a renewed emphasis on cost control. I wasn't sure if you guys were thinking that if you're able to execute in some of those efficiencies that you're looking at, you might be able to maintain margins at a lower organic revenue growth rate?
Vivian Lopez-Blanco - MEDNAX, Inc.: Well, yeah. I mean, that's the goal right? And as Stephen said in his commentary, I think we're looking to continue to evolve that and expand it. And so, I think we're going to have more than what we had announced in the last quarter. And we're actually pretty satisfied with where we're at with it as it relates to the progress, because we have continued to deliver on the metrics that we set internally. But nonetheless, we're not satisfied that, that's where we should end. And so, we're going to continue to look at this. And as Stephen said, make investments where we need to on automation, because we still want to make sure that we can impact some of these premium pay and agency labor and all that. And that'll come with some of the automation there. And so, we think there is a lot more opportunity. But some of these things are more strategic in nature and are going to take a bit longer.
Kevin Mark Fischbeck - Bank of America Merrill Lynch: I guess, just to clarify, I think, it was Roger who said something along the lines that the pressures you're seeing right now are expected to persist. The cost cuttings should hopefully allow you to kind of keep things more stable. But then if things improve off the growth rates that you're seeing now, then you can grow EBITDA. When you say that, are you talking about the 0% to 2% that you expect in Q4, are you talking about kind of year-to-date number, which is even more like 2% or 3%?
Vivian Lopez-Blanco - MEDNAX, Inc.: Yeah. No, it would be more – I mean, if it bounces us back, right, because right now, we saw this quarter, obviously, same unit. And specifically, first, we're not where we wanted them to be. And so, our fourth quarter guidance reflects that because we've seen this volatility in the past, but, yes, we don't expect that to persist. If it doesn't persist, obviously, we'll have a lot more opportunity for margin expansion as well as positive EBITDA.
Roger J. Medel - MEDNAX, Inc.: Yeah. And one thing I want to add here is that if we go back to 2010, over that 8, 8 1/2 year time period, there's only been two quarters in that time period when we have seen birth decline to this kind of level, the 2% level. So, just to put it into perspective, this was a pretty significant drop in births that we saw during the quarter. And when we see this in the past, births have come back. So, that's what we were talking about.
Kevin Mark Fischbeck - Bank of America Merrill Lynch: Okay. Thank you.
Operator: Thank you. Our next question then will come from the line of Brian Tanquilut from Jefferies. Please go ahead.
Brian Gil Tanquilut - Jefferies LLC: Hey. Good morning, guys. Roger, or Vivian, as I think about margins, just to follow-up on Kevin's question, do you think you can – with the cost cuts, is there an ability to at least hold margins or drive margin expansion if same store remains in the flat to 2% range, you think?
Vivian Lopez-Blanco - MEDNAX, Inc.: Well, obviously, Kevin, more on the 2% range. So, again, as we look at these cost initiatives, we continue to drive that. And so, not so much on the flat side, that would be a bigger hurdle, obviously, but certainly, on the 2%. Remember, if I can refresh all of your memories, we used to say here that you needed kind of 3% to kind of have margin stability here. And then we kind of started to raise that because of some of the premium pay and some of the salary pressures we were seeing. Now, given some of our initiatives, that's coming back down. And so, yes, there is opportunity there Brian.
Brian Gil Tanquilut - Jefferies LLC: Okay. And then, Viv, just to follow up – or one more question just on the rate side. Are you seeing any more increasing stipend payments? Is that a factor in the deceleration in the same-store kind of rate growth?
Vivian Lopez-Blanco - MEDNAX, Inc.: So, yes, thank you for that. So, we do see, as I said to you guys before, some variability in the timing of not only for what you're suggesting on the contract revenue, Brian, which is also true, but also on the managed care piece. Because, again, that just has to do with the timing of when you negotiate the commercial contract. So, that was lighter this quarter than what we had seen for the first half of the year. But again, we're not expecting that to slow down permanently. It's just the timing of the managed care contracting, et cetera.
Brian Gil Tanquilut - Jefferies LLC: So, Viv, just to follow-up on that, like quick question. So, do you still think that you can get managed care rate growth, at least in the NICU side, in sort of the historical 3% to 5%, 4% to 5% range?
Vivian Lopez-Blanco - MEDNAX, Inc.: Yeah. We're still sticking to that. Yes, absolutely. And again, timing related.
Brian Gil Tanquilut - Jefferies LLC: Got it. Thank you.
Operator: Thank you. Our next question then will come from the line of Ana Gupte from Leerink Partners. Please go ahead.
Ana Gupte - Leerink Partners LLC: Yeah. Hey. Thanks. Good morning. So, on the pediatric and child services, beyond the birth rates, are you pursuing share gains with the RFPs that are in the pipeline, cross-selling, well-baby care or any other specialty services? And is that likely to help offset some of the volatility we're seeing just on the secular trends?
Roger J. Medel - MEDNAX, Inc.: Yeah, for sure. We're pursuing those, and we have special emphasis right now on well-baby care. We only do well-newborn care, probably less than half the hospitals where we provide NICU services. And we think that's a big opportunity for us, and we've got a special program which is focused exactly on that. Also, OB hospitals is another area that is growing very fast for us. So, yes, we're specifically targeting those two areas for growth.
Ana Gupte - Leerink Partners LLC: And like when will that materialize do you think in a way that can you know drive more predictable volumes on that service line in that business segment?
Roger J. Medel - MEDNAX, Inc.: Well, it's materializing every day. I mean, it's contributed to our growth in other services, as we said at the beginning of the call this quarter. And we believe that it will accelerate over the next whatever – this quarter and beyond. And our hope is that we can have a significant opportunity for growth there. But that growth is already happening and has contributed in this third quarter.
Ana Gupte - Leerink Partners LLC: Okay. And on the anesthesia side, on the contracting with the anesthesiologists, are you seeing any push from your workforce, from your anesthesia staff, to change the incentive structure more to pay-for-performance or introducing equity or anything? And can you talk about what that looks like for you in the next year or two?
Roger J. Medel - MEDNAX, Inc.: Yeah, we're renegotiating those contracts as they come due. And we talk about having a different kind of structure where we're sharing revenue with them. And we've already been successful a couple of times in making those changes. And we're hopeful that as we will – and continue to negotiate these contracts, again, when they come due, that we will be able to move more of our existing groups into that revenue-sharing model.
Ana Gupte - Leerink Partners LLC: And will that drive volumes that offset any other kind of wage pressure from changes in contracting?
Roger J. Medel - MEDNAX, Inc.: I mean, I don't know whether it will drive volume or not. I wouldn't say that. What it will do is it will sort of share the responsibility rather than having guaranteed salaries for them to having a percentage of the revenue, which will – and we have seen it already drive them to be just more efficient in how they staff their services, et cetera. So, that's the force behind that.
Ana Gupte - Leerink Partners LLC: Got it. Thanks, Roger.
Roger J. Medel - MEDNAX, Inc.: Yes.
Operator: Thank you. Our next question then will come from the line of Gary Taylor from JPMorgan. Please go ahead.
Gary P. Taylor - JPMorgan Securities LLC: Hi. Good morning. Just a few questions. The first one, Vivian, I was wondering if you're going to move up north and retire somewhere cold.
Vivian Lopez-Blanco - MEDNAX, Inc.: No, Gary. I'm planning to spend time in Spain.
Gary P. Taylor - JPMorgan Securities LLC: Okay. All right.
Roger J. Medel - MEDNAX, Inc.: It's not as cold in Spain.
Vivian Lopez-Blanco - MEDNAX, Inc.: But not as cold as the Northeast. Thank you, Gary.
Gary P. Taylor - JPMorgan Securities LLC: Okay. Best wishes.
Vivian Lopez-Blanco - MEDNAX, Inc.: Thank you.
Gary P. Taylor - JPMorgan Securities LLC: A couple of questions. On the 4Q, when you mentioned the 6 million on the G&A, was that a sequential G&A improvement you were talking about?
Vivian Lopez-Blanco - MEDNAX, Inc.: That's year-over-year.
Gary P. Taylor - JPMorgan Securities LLC: Okay, year-to-year.
Vivian Lopez-Blanco - MEDNAX, Inc.: Yes.
Gary P. Taylor - JPMorgan Securities LLC: And then just when we think about looking at the EBITDA this quarter, adding back $16 million on Atrium, EBITDA's up $5 million year-over-year. If we look at the 4Q guidance, we add back $15 million, $16 million. It's flat to down. Is that just purely a function of the fact you had really strong same-unit revenue growth? In the fourth quarter last year, you're guiding only 0% to 2% this time around. So, just the negative operating leverage, or anything more explicit than that?
Vivian Lopez-Blanco - MEDNAX, Inc.: Yeah. So, it's a little bit of all of that, but also given that obviously we kind of lowered the revenue, given what we saw in the third quarter, right. So that's a piece of it, right, the flat to 2%. And then, there's things that usually happen in the fourth quarter that are a little different from the third quarter, namely, as you would expect, there's some higher expenses. So, typically, we do see about a 50 bp to 60 bp decline in margins there because of seasonality. So, a few of those things are, as you would expect, some of the year-end true-ups like, typically, you have a little bit higher healthcare costs. You do have true-ups on bonuses, as we're going through and looking at what the practice results are. And then, just supplies and practice expenses are typically a little big higher. So, all of that does contribute to Q4 being slightly on the margin side, being slightly less than Q3, everything else being the same.
Gary P. Taylor - JPMorgan Securities LLC: Okay. And then last question. Correct me, if I'm mistaken, but I believe last quarter, Roger, you had said 2019 would be a year of modest EBITDA growth. Wondering if you're still seeing that, and if that includes/excludes the EBITDA headwind you still have from the Atrium contract exit in the first half of the year?
Vivian Lopez-Blanco - MEDNAX, Inc.: Yeah. So, we are still – I mean, obviously we have a different baseline right, but yes, we are expecting to continue with some growth there. And remember, that we do have the lap of the year-over-year with the Charlotte matter, because even Q3 – I think one of guys put that in one of the notes. I can't remember who it was, but barring Charlotte, we did have some positive growth in Q3. Again, Q4 being slightly less given some of these things that I mentioned on the margin. But yes, we're expecting 2019 to have growth.
Gary P. Taylor - JPMorgan Securities LLC: Great. Thank you very much.
Operator: Thank you. Our next question now is going to come from the line of Chad Vanacore from Stifel. Please go ahead.
Chad Christopher Vanacore - Stifel, Nicolaus & Co., Inc.: Thanks. So, on the anesthesia physician contracts that you're carrying to the end of the year, should we expect that full cost to evaporate after year-end; or alternatively, what percent of those contracts do you expect to retain into 2019? So, have you moved a portion of these clinicians to other practices, and are they servicing other contracts?
Roger J. Medel - MEDNAX, Inc.: Yeah, we have moved some physicians, but it evaporates at the end of 2018.
Chad Christopher Vanacore - Stifel, Nicolaus & Co., Inc.: All right, Roger. That, basically $9 million EBITDA lift that you get in first quarter?
Roger J. Medel - MEDNAX, Inc.: Right.
Chad Christopher Vanacore - Stifel, Nicolaus & Co., Inc.: Okay. And then just on MedData, what percentage of that $46 million EBITDA generation is internal to MEDNAX? So, presumably, a large portion of this is intercompany income?
Vivian Lopez-Blanco - MEDNAX, Inc.: So, it's probably roughly in the 10% to 12% range.
Chad Christopher Vanacore - Stifel, Nicolaus & Co., Inc.: All right. That's it for me. Thanks.
Roger J. Medel - MEDNAX, Inc.: Thanks, Chad.
Operator: Thank you. Our next question then will come from the line of Matt Borsch from BMO Capital markets. Please go ahead.
Matthew Borsch - BMO Capital Markets (United States): Hi. Yes. Thank you. Could you just talk about your acquisition strategy going into 2019? How is the trends – if at all, the trends in the back half of this year affecting your view of what you want to do next year?
Roger J. Medel - MEDNAX, Inc.: Well, at the end of the day we're going to have to grow our way. And there's only so much you can cut. And although we have a lot of room, I think, to still gain some efficiencies, we have to think about our growth as well. I'm very excited about this large neonatal practice that we acquired right after the third quarter. It's a practice that we have been looking at and friends with for many, many years. And it demonstrates that we are able to – if you remember, historically, we bought neonatology practices in the four to five multiple ranges, and that's exactly where we were able to accomplish this very large acquisition. So, we have a renewed effort to re-contact the existing neonatology practices that are still out in the market. And we believe that we may be able to get maybe one or more of those deals done in 2019, so we're excited about that. We're excited about radiology. We do have some growth in radiology. I think, this fourth quarter, we will have two of the four radiology practices that we acquired last year, will fall into the same-unit calculation. And I think that will be helpful to us both our large practice in South Florida, as well as the one up in Connecticut. And so, we believe that will contribute to our same-unit growth calculations as well. So, all of that is looking good for us, starting in the first quarter of next year. And we will continue to focus on women and children's services acquisitions particularly in the neonatal field and some radiology, as I stated on the call, some smaller tuck-in kind of acquisitions. And hopefully, we'll see opportunities to enter other markets that makes sense for us from a geographic and a payer mix standpoint. And I think we'll see even before the end of this year a small radiology acquisition to follow as well. So, that's, as we said, a combination of share repurchases and strategic acquisitions is where we see 2019.
Matthew Borsch - BMO Capital Markets (United States): Just one quick follow-up, which is, are you seeing the neonatology volume trends impacting valuation in a way that might benefit you in the near term?
Roger J. Medel - MEDNAX, Inc.: Well, I think the valuation of our neonatal, like I said, – I'm sorry, I'm not sure I understand your question.
Matthew Borsch - BMO Capital Markets (United States): Well, I'm sorry, I mean, in terms of potential acquisitions that maybe this becomes a little bit better environment to do acquisitions, because the market's not as hot?
Roger J. Medel - MEDNAX, Inc.: For neonatology you mean?
Matthew Borsch - BMO Capital Markets (United States): Yeah.
Roger J. Medel - MEDNAX, Inc.: I don't think – no. I mean, I think that being able to acquire these practices at a 4 to 5-time multiple is pretty good. And it's not been a valuation issue that has kept these practices from joining us. It's always a fear of losing their independence. That is always the number one reason why, these larger practices that are still left elect not to come, be part of what we're doing.
Matthew Borsch - BMO Capital Markets (United States): Got it. Thank you.
Roger J. Medel - MEDNAX, Inc.: Yeah.
Operator: We have a question from the line of Ralph Giacobbe from Citi. Please go ahead.
Ralph Giacobbe - Citigroup Global Markets, Inc.: Thanks. Good morning. I just want to go back to expectations for growth in 2019. And maybe more specifically try to get to the right baseline as you guys are thinking about the business, and where we're at this point. I mean do you think it's fair to use that fourth quarter EBITDA number as sort of a run rate maybe after making the SAC adjustment? Is that the sort of a reasonable way or jumping off point to think about 2019 at this point?
Vivian Lopez-Blanco - MEDNAX, Inc.: Well, we're hoping that it'll get better, because, again, fourth quarter, as I mentioned in the prior question, the margins do get impacted with some of the things that are usually year-end phenomenons, as you true-up the books for the year for healthcare and all that stuff. So, we would expect it to be slightly better.
Ralph Giacobbe - Citigroup Global Markets, Inc.: And just if I could push on that a little bit, because I think, typically, your first and second quarter are your weakest EBITDA generating quarter. It's usually sort of third and fourth that are a little bit more than a quarter of the EBITDA contribution. So, I just want to make sure I understand sort of the seasonality of using that or not using that.
Vivian Lopez-Blanco - MEDNAX, Inc.: So, thank you for that clarification. It's the first quarter that we do have significant seasonality. Because one of the things that happens in the first quarter is that these physicians are meeting their FICA expense and all this, so it is much lower. So, the first quarter is the one that has the big seasonality. I was referring to between third and fourth quarter.
Ralph Giacobbe - Citigroup Global Markets, Inc.: Yes, okay. I guess, I'm just trying to get to the baseline of how to think about – when we think about growth in 2019, just what the right – there's been a lot of moving parts, a lot of pressure in the business. And so, it's just whether or not you see fourth quarter as kind of a good starting point or not. And it sounds like the answer's no, because of these incremental considerations.
Vivian Lopez-Blanco - MEDNAX, Inc.: Well, I mean, yes. You adjusted for some of the – like I said, it's roughly 50 basis points to 60 basis points in margin; and then, of course, what we said, the Southeast impact. So, if you do that adjustment then, you're in the ballpark. Again we're hoping that organic growth is not going to continue to be flat to 2%. We're hoping that we go back to more of the first half of the year trends. So, that, hopefully, will be impacted positively as well. But nonetheless, that would be in range barometer there.
Ralph Giacobbe - Citigroup Global Markets, Inc.: Okay. All right. Thank you.
Operator: We have a question from the line of Matthew Gillmor from Robert Baird. Please go ahead.
Matthew D. Gillmor - Robert W. Baird & Co., Inc.: Hey. Thanks for the question. Picking up on the 2019 outlook. And you've talked about sort of low mid-single digit growth, so sort of an expectation. Can you give us some sense for what's assumed from a birth perspective? Does that sort of contemplate flat births or positive birth?
Vivian Lopez-Blanco - MEDNAX, Inc.: I wish we could be so good, but we're not. So, I will admit to that. We don't have that crystal ball. So, usually, what we do is that we make an assumption on overall same-unit, because we can't be as precise as that. We just can't.
Matthew D. Gillmor - Robert W. Baird & Co., Inc.: Got it. And one quick follow-up. So, the MedData EBITDA number you disclosed, is that the number we should think about coming out of MEDNAX's EBITDA, or are there any costs that won't go away, or maybe some overhead that you can remove, so you actually get a bigger benefit than the $46 million? Just wanted to sort of understand how that impacts MEDNAX when it's removed.
Vivian Lopez-Blanco - MEDNAX, Inc.: Yeah. So, roughly, that's the number, because they've been operating pretty independently, so there's not overhead here that is justifiable to go away for that reason.
Matthew D. Gillmor - Robert W. Baird & Co., Inc.: Got it. Thank you.
Operator: Thank you. We have a question from the line of A.J. Rice from Credit Suisse. Please go ahead.
A.J. Rice - Credit Suisse Securities (USA) LLC: Hi, everybody. Best wishes, Vivian; and congratulations to Stephen. Just a couple of very specific things around the third and fourth quarter. I think you mentioned a couple of times increased clinical compensation contract and premium labor. Is that sort of just the ongoing dynamic that you've been experiencing for a while, or was there a step up somehow in the current quarter? And do you think that's going to continue? I guess, I would also ask about 0% to 2% in the fourth quarter. I just want to make sure, I understand what's behind that. Is that simply assuming that what you saw in the NICU and births in the third quarter persist in the fourth quarter, or is there something else behind that, that's building up to that revenue growth expectation? And then my last piece on this is – thanks for the comments about the contribution from the two cost-reduction initiatives. But I think last quarter, the comment was that you expected about $35 million in operational improvements in 2018 and about $25 million on the G&A cost initiative. Is that still the goal for this year? Are you on track for that, or has there been a change?
Vivian Lopez-Blanco - MEDNAX, Inc.: No, no. We're on track for that. So, if you add up what we said, we're pretty much in that ballpark. So, we think that like I said before, A.J., the experience we've had so far has been positive, and we've been delivering on both the G&A side, as well as the operational efficiency side.
A.J. Rice - Credit Suisse Securities (USA) LLC: Okay.
Vivian Lopez-Blanco - MEDNAX, Inc.: Your other question, let me see if I remember all parts of it. So, I think the prior piece of it was related to what we have in the forecast for the fourth quarter as it relates to top line. So, yeah, that does continue the trend, because we don't know – as Roger said, we typically don't see it as so harshly, certainly on NICU births, but we think it's just conservative to continue with that at least for the next quarter. And so, that's what it does. There's nothing more to than that. And then, as it relates to the salary and benefit plan, I think it was the last piece of your question. Yeah, actually, it did get slightly better because we still saw some increases, as I said. But it really was slightly better than what we see in the first half of the year, and certainly, on the nurse anesthetist side for sure.
A.J. Rice - Credit Suisse Securities (USA) LLC: If I can maybe just clarify one point on that fourth quarter, NICU assumption. I know it's probably not fair to ask this, but is that just your assumption, or do you have something in the October results that you're seeing already that suggest – it sounds like it's fairly unusual to have two quarters like this in a row. But I just wondered, do you see something and sort of the early read on the quarter so far that suggest it'll continue to be that soft?
Vivian Lopez-Blanco - MEDNAX, Inc.: No, we haven't. But again, we want to deliver the forecast that we have set out there. So, we thought it'd be prudent, given that, that's something we can't control.
A.J. Rice - Credit Suisse Securities (USA) LLC: Okay. All right. Thanks a lot.
Operator: Thank you. And at this time, I have no further questions in queue.
Roger J. Medel - MEDNAX, Inc.: Okay. If there are no further questions, I'll thank everyone for participating this morning. And I will look forward to speaking with you again at the end of the fourth quarter. Thank you, operator
Operator: Thank you. And ladies and gentlemen that does conclude our conference for today. Thank you for your participation and for using AT&T Executive TeleConference. You may now disconnect.